Operator: Hello and thank you for standing-by. Welcome to the Triple-S Management Second Quarter 2015 Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions [Operator Instructions] At this time, I would like to turn the conference over to Kathleen Waller with AllWays Communicate. Please proceed, Ms. Waller.
Kathleen Waller: Thank you, [Suvan] (Ph); and thank you, everyone. Good morning, welcome to today's second quarter 2015 earnings conference call. With us today are your hosts, Ramon Ruiz-Comas, President and Chief Executive Officer; Bobby Garcia, Chief Operating Officer; and Amílcar Jordan, Chief Financial Officer. Also in the room is Liliana Rivera-Corcino, Corporate Controller. I'm sure all of you have heard the Safe Harbor statements before, but we still need to get this housekeeping issue out of the way. For each quarter, Triple-S management executives will provide their current view of the company's future. This means that they will share forward-looking information with you. As you know, these statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts, what actually happens maybe materially different from what you hear today on the call. To get a better understanding of why this may occur, please look at the Safe Harbor section in today's news release and in the company's periodic filings with the SEC. In addition, the information shared on this call should be considered current only as of today. After today, please use this information for your reference only and remember that the company assumes no responsibility to update it. This call is being webcast. Shortly after it ends, you will find an archived version on the Investor Relations page of the company's website at www.triplesmanagement.com. If you don't have a copy of today's news release already, you can either find one on the company's web page or you can call me, Kathy Waller, at 312-543-6708, and I will get one to you immediately. In addition, we can always make sure that you're on our distribution list going forward. With that, I would like to turn the call over to Ramon. Ramon, please go ahead.
Ramon Ruiz-Comas: Thank you, Kathy. I want to welcome, everyone, to this morning call. I will first provide a high-level overview of our second quarter results and then I will hand the call to Bobby Garcia, our COO, who will briefly touch on operational developments. Amílcar Jordan our CFO, will then provide a more in depth discussion of our quarterly performance. Following our formal remarks we will answer any questions you may have. Before I digging into the quarter specifics, I am sure you are all aware of my decision to retire as Chief Executive Officer, effective January 1, 2016. The long hours and extensive travel associated with being a CEO have placed a strain on my family over the years. I believe the time is right to move on, since I am still young enough to enjoy my children and grandchildren. Moreover, I am extremely proud of what we have accomplished over the last 13 years including among other things, our transition from a non-profit entity to a profit-entity company, culminating in from a non-profit entity to a profit-entity company, culminating in the successful December 2007 initial public offering and simultaneously listing on the New York Stock Exchange. I have been [blessed] (Ph) and privileged to lead Triple-S. I will miss all the wonderful people that I have had the chance to work with over the years, but I know that I leave the Company in very capable hands. The Board of Directors has selected Roberto Garcia, our Chief Operating Officer to succeed me immediately following my retirement. Throughout my tenure, both the Board and I have been well aware of the importance of identifying and cultivating managerial talent, as well as the need for effective succession planning. After a thorough evaluation process, the Board conclude that Bobby embodies the ambition, experience and business acumen necessary to chart the Company's future growth plans. He has the Board's full support as well as mine. We are working very closely to ensure a smooth transition. Moving on to the second quarter, our financial performance was in line with our expectation despite the challenge facing our Medicare business and Puerto Rico's distressed economy. Also, as a result of the island's fiscal crisis, we thought its prudent to strengthen the allowance for doubtful accounts by $4.3 million will represent $0.10 per diluted share net of taxes. While our $1.2 billion investment portfolio has minimal exposure to Puerto Rico Government obligation, Triple-S has premium and other receivables of approximately of $95 million from the government as of June 30. Given the government [indiscernible] the allowance for doubtful accounts by $4.3 million during the quarter. This decision is in line with the risk management strategy we adopt last year. As discussed during the previous calls, these measures have included tighter underwriting guidelines; a reduction of our Puerto Rico bond holding; and our decision to bid for only two Medicaid regions. Let me comment on the Puerto Rico economy which I have seen in the news during the past months. The local government continues to face multiple fiscal challenge. To handle this challenge, the government formed a working group, aimed at creating a five-year fiscal stability plan, and commenced debt renegotiation discussions. We hope that the government will arrive at a solution that not only achieves fiscal balance, but, more importantly, puts the economy on a growth track. We are closely following this development, and we continue to take any measures we feel prudent, to manage the risk profile of our government account; as well as the broader implications of Puerto Rico economic conditions. Consolidated premiums earned increased nearly 40% reflecting the additional managed care premiums attributable to the new at-risk Medicaid contracts, which became effective April 1, 2015. We were able to seamlessly incorporate this model into our operations, and the contract was profitable for the three-month period. Within the Medicare business, we are encouraged by the progress achieved today, and remain keenly focused on pursuing the strategic [indiscernible] we have outlined in previous calls, which we believe will allows us to be more appropriately sufficient for 2016 and beyond. We post pro forma net income of $7.3 million, or $0.28 per diluted share versus pro forma net income of $24.1 million, or $0.89 in the second quarter of 2014. On a GAAP basis our net income was $18.9 million or $0.73 per diluted share versus $27.5 million or $1.01 last year. Consolidated operating revenues amounted to $770.3 million of 31% year-over-year, by $205, 6 million in Medicaid premiums. The decrease in the consolidate operating expense ratio was primarily caused by the increasing premium [indiscernible] following the change Medicate fees model. The corporation remains centered on improving our operational performance with particular emphasis on the managed care segment. The financial and operating benefits that we are seeing from greater efficiencies this segment [indiscernible] of moving forward. Regarding capital management we will continue to repurchase our common stocks in the open market. In fact we bought back 528,000 this quarter leaving a $3.7 million remaining under the current repurchase authorization. Finally we remain committed to seeking out a [indiscernible] avenue of growth in Puerto Rico, as well as growing our Costa Rica business. In conclusion we are satisfied an encouraged by the progress we have made with our action plans which was designed to confirm the current economic and industry challenge we faced. We believe that we have the capital strength and resources to deal with this challenge, and achieve future profitability objectives. Our corporate strategy is based on developing a foundation for the longer term, and addressing the issues within our sphere of influence. In light of the government's fiscal situation, and the weak local economy, both of which are beyond our control, we continue to refrain from providing 2015 guidance. I will now turn the call over to Bobby, to give you a brief update on our key business segments.
Bobby Garcia: Thanks, Ramon, and good morning, to all. Let me first say, I'm honored to be given the opportunity to carry on Ramon's legacy, and lead a talented group of executives at one of Puerto Rico's largest and most-successful companies. Since the announcement, I've been working closely with Ramon, our Board, and the rest of the executive team, to ensure a smooth transition. I've also been focusing on the strategic transformation we’re now pursing. Our goal is to better position Triple-S to thrive in the rapidly changing managed care market, and create value for all our stakeholders. This effort is centered on improving our administrative and medical cost structure, building a leaner, more agile organization, and positioning the company for profitable growth in our core and adjacent markets. Strengthening our managerial team is part of this transformation. We recently announced the appointment of Dr. Jose Novoa- Loyola as Chief Medical Officer. He's a well-respected cardiologist who, before joining Triple-S, served as Medical Director and Head of Cardiology at the Cardiovascular Center of Puerto Rico and the Caribbean. In this newly created position, he'll develop integrated clinical strategies, and oversee medical policy across our three lines of managed care business. As Ramon mentioned, we were able to make a seamless transition to the new at-risk medical Medicaid contract, which became effective April 1, and runs through June 30, 2017. As of June, this contract is serving 433,000 members in the Metro North and West regions. Medicaid expenses during the quarter decreased by $4 million, due to an enrolment decline under this new contract. In the commercial business, our decision to maintain underwriting discipline, emphasizing profitability over market share, remains a key component of our strategic direction. We've continued aligning premiums with claims trends, with average rates rising 7.7% year-over-year improving the spread between revenue and claims. As a result of our underwriting discipline, , as well as attrition on existing accounts, due to the economic situation in Puerto Rico, fully-insured member month enrolment fell by 12%, or approximately 148,000 year-over-year. The membership contraction has largely been reflected in our rating groups, including several accounts in the government sector, as well as individual products. Let's now turn to our Medicare Advantage business. As we've discussed on previous calls, this segment is facing strong headwinds. Although claims trends were relatively flat this quarter, revenue per member per month, excluding PDP, was lower; driven mainly by a shift in membership towards lower lower premium products, and the effect of our successful sales efforts. While we’ve added 3,000 new members during the first half of this year these enrollees have lower risk scores than our continuing members. In response to the challenges in MA we've undertaken several initiatives since last year to improve the accuracy and completeness of our beneficiaries' diagnoses, which resulted in a better than expected mid-year adjustment this quarter. We continue intensifying HRA's chart reviews and in-home assessments to ensure providers are accurately capturing, documenting and reporting member's conditions, which help us properly manage their care and improve the quality of their service. We're also working on other initiatives to improve the profitability of the MA business, among them we’re revamping our Star program focusing on aggressive engagement with providers and a continuous monitoring of metrics at the point of service. We reduced the number of IPA providers by half, focusing on their quality, financial strength and administrative capability. We're also implementing provider contracting strategies to enforce the quality of care, redesigning our PMG and PCP payment models to rebalance risks and responsibilities among the parties and renegotiating vendor contracts to better align them with our business units. We are increasing our focus on member retention through our sales force compensation and marketing strategies. And finally, we're investing in technology to properly identify and improve outcomes of target populations. Reflecting the in premiums annually through 2017, we expect the Medicare Advantage market in Puerto Rico to remain under pressure. . The final MA rate book and call letter, which contains 2016 rates for MA plans, was published in early April. While a 3% average increase is anticipated for plans nationally, Puerto’s MA rates will decline approximately 11% from 2015 funding levels. The benefit design and product offering we submitted in our 2016 bid reflect the effect of these premium rate deductions. I would like to close by saying that our transformation program is proceeding according to plan, and we should begin implementing several changes to our organizational structure by yearend. Our primary goal is to build a performance- driven company that can drive down costs and generate growing, more-predictable profitability over the long run. I'll now let Amilcar offer you a more in-depth analysis of our financial performance.
Amílcar Jordan: Thank you, Bobby, and good morning. We reported net income of $18.9 million, or $0.73 per share for the quarter ended June 30, 2015, compared with net income of $27.4 million, or [indiscernible] in the same quarter last year. The $8.6 million decline in net income was mainly driven by a higher loss ratio in the managed care and property and casualty segments, and a $4.3 million increase in the provision for doubtful accounts that Ramon mentioned. These unfavorable fluctuations were offset in part by a $6.7 million year-over-year increase in net realized gains on the sale of investment securities and a tax benefit recorded during the quarter. Total consolidated operating revenues amounted to $770 million, an increase of $184 million or 31.4% from the same quarter last year. This was mostly driven by $407 million increase in earned premiums reflecting the higher Medicaid premiums, due to a change from an ASO to a fully-insured contract. Life insurance premiums increased by $1.4 million, while property and casualty premiums fell by $1.2 million during the 2015 three month period. The increase in earned premiums was partially offset by $24 million reduction increase mostly resulting from the change in Medicaid contract previously mentioned. Gross revenues, also include on sales of securities of $10.6 million for the quarter. These net gains include a $1.7 million in earned and temporary premium related to Puerto Rico Government obligations. Consolidated claims in care for the quarter rose $209 million and the reported consolidated loss ratio was 84.6%, a 580 basis point increase from a year ago. The consolidated loss ratio was unfavorably impacted by a 500 basis point increase in the managed care MLR, reflecting the claims incurred in the Medicaid business, which normally have a higher MLR than the other lines of business; lower favorable prior-period reserve developments when compared to last year; and higher pharmacy utilization and cost trends. The property and casualty segment's loss ratio increased by 380 basis points while the loss ratio in the life insurance business remained relative flat. Quarterly operating expenses were $3.2 million higher than a year ago, reflecting the increase provision for doubtful receivables, the health insurance provider fees and professional services. These fluctuations were partially offset by the impact of cost containment initiatives, including lower personnel cost resulting from a year-over-year headcount reduction of approximately 9% since June 30, 2014, and lower expenses stemming from our membership decline under the new Medicaid contract. Despite the increasing operating expenses, the consolidated operating expense ratio decreased by 490 basis points through 16.7% for the 2015 period reflecting higher premium revenue. I will now briefly discuss of few segment highlights and the main changes to - in our MLR. Managed care premium for this quarter were $695 million, an increase of $200 million from the same quarter last year, primarily reflecting the $205 million in premium generated by the Medicaid business. Medicare premiums rose $60 million resulting from higher member months' enrolment in Medicare Advantage products, which carry a higher average premium rate on the year-over-year increase in fiscal revenue. Medicare premiums in the second quarter of 2015 were positively impacted by an additional $15 million related to the mid-year risk score adjustment on prior-year settlements from CMS. The additional restructured revenue booked in last year corresponding quarter was $12 million. Our member months' enrolment in Medicare Advantage products increased by approximately 38,000 members mitigating the loss of the PDP enrolment after our exit from the standalone PDP business. Total Medicare member months' enrolment decreased by approximately 3000 members or 1%. Average per member per month Medicare advantage premiums posted a roughly 4% year-over-year decrease mainly driven by our changing membership mix. Our membership now has higher proportion on non-dual eligible members, which typically generate lower monthly premiums than duals. Also as Bobby mentioned, the 30,000 members this year carry a lower risk score than existing members. The increases in the Medicaid and Medicare premiums were partially offset by a decrease of $11.4 million or 5% in the premiums earned by the commercial business, reflecting the ongoing decline in membership. The impact of the lower membership was partially offset by higher average commercial per member per month premium which rose over 7% compared to a 2% increase in the same period last year. Managed care segments claims for the three months period was $208 million while the segment MLR was 87.4% reflecting a 500 basis points increase from the same period year ago. The new Medicaid fully-insured business claims amounted to $186 million resulting in an MLR of 19.5%. The Medicare MLR was 86.6%, 500 basis points higher than last year. Excluding the effect of prior period reserve development and fiscal adjustments, this metric increased by 340 basis points largely reflecting the impact of lower average per member per month premiums in Medicare advantage program on higher pharmacy cost. On utilization trends, the commercial MLR for this quarter was 85.4%, 220 basis points higher than our year ago, due in part to lower favorable prior-period reserve developments when compared to last year. Excluding the effect of prior period research developments, this metric rose 110 basis points from year ago reflecting higher pharmacy costs and utilization trends. Managed care operating expenses increased $8.1 million year-over-year. As previously mentioned, expenses in 2015 reflect the impact of increases in the provision for doubtful accounts, health insurance provider fees and professional services. The latter related to Medicare which occur in on our strategic transformation efforts. These increases were partially offset by lower operating expenses in the Medicaid business reflecting the lower membership in 2015. Our life insurance operation generated operating income of $5.3 million, about flat with the prior year. The property and casualty insurance segment achieved operating income of $2.5 million compared with $1.5 million in the prior year. The decline in property and casualty operating income primarily results from the segment’s decrease in premium volume and higher loss ratio which increased by 290 basis points. Consolidated income tax expense fell $12.4 million year-over-year. This decrease reflects the 2015 lower production income and a reduced effective tax rate principally due to higher level of capital gains and a lower proportion of managed care pre-tax income. The income tax benefits for the quarter also includes the impact of a temporary preferential tax rate on capital asset transactions. For the six months ended June 30 of this year, net cash generated by operating activities amounted to $77 million and the stronger liquidity results largely from the temporary lag in claim payments under the new medical contract. Our investment portfolio totaled $1.2 billion as of June 30, 2015 with an $85 million net unrealized gains. Our exposure to Puerto Rico relations amounted $26 million or 2% of the portfolio including $16.5 million of escrow bonds collateralized by U.S. obligations. At quarter's end, the gross unrealized losses on Puerto Rico positions was $23,000 after the already done temporary payment of $1.7 million recorded during the quarter. The days claim payable as of June 30, 2015 were 58 today increased when compared to December 31 of 2014. Managed care claim liabilities increased from $449 million as of December 31 of 2014 to $322 million as of June 30, 2015. In summary, we are satisfied with the Company-wide efforts to improve efficiency, manage risk and reduce operating expenses which allowed us to remain profitable in this challenging business environment. We will now proceed to our Q&A session.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Thank you. Our first question is from Peter Costa from Wells Fargo. Please go ahead.
Peter Costa: Good morning.
Ramon Ruiz-Comas: Good morning.
Peter Costa: Firstly, good luck, Ramon and Bobby, on your transitions going forward.
Ramon Ruiz-Comas: Thank you.
Bobby Garcia: Thanks.
Peter Costa: I have some questions. There's been, obviously, a lot of news in the papers and what not about the pressure in Puerto Rico. Can you talk about - a little more about how you expect that to play out over the next couple of quarters or perhaps year, and how you think it could adversely affect the Company going forward from here?
Ramon Ruiz-Comas: Maybe, Peter - I know that people don't like this type of answer. I will tell you my personal comments, because remember that we don't provide guidance, therefore I want to be sure that people understand that my intention here is not to provide any type of guidance. But what I will say, I know that - we understand the situation in Puerto Rico is difficult. However, I can tell you, in our case, the government has been complying with the terms of the agreement, specifically in the Medicaid new contract. We know that the fiscal situations has been difficult. But, up to this moment, they have complied with their promise to pay us and their intention is to continue to fund the program in accordance with the agreement that all parties have. Saying that, we will continue to follow very closely the situation and because the overall situation, that's why we decide, I will say, to strength our reserve for doubtful accounts. Normally, I will say - our normal process, in terms of the evaluation of collectivity of receivables, we follow a protocol that we have established for many years. Based on that protocol, we evaluate collectivity, and, on a normal basis, we would review the reserve required and determine what was the amount of reserve. This time we decide, I will say, to strength -- in addition to the normal protocol, we decide that it was worth to establish an additional reserve. And that was the expense of $4.3 million that we add to the provision. Not because we don't expect -- we don't expect any increase in on collectivity, because our expectation is that we should collect the premium from the government as of this time. But taking into consideration overall situation, it was prudent to strengthen our reserve in order to avoid any significant unforeseen situation. So the answer to you, things continue to be -- there is a lot of news. And the news are based on the decision of the government, regarding the payment of some loans that were due, effective August 1. However, I can tell you, the same way that the government has talked about that situation, they have expressed that their priority is to continue to fund those service that they provide to the population. Health has been identified as one of the primary service that they provide to the population so, in that case, we continue to review this thing very correctly but the government has complied, up to this moment, with their responsibility of paying for that program. That doesn't mean -- because we have overall, in all our programs, $95 million in account receivables from the government that something that we evaluate on a monthly basis, the reasonability of the reserve that we have for uncollectable accounts. And, depending on that evaluation, we determine whether we need to increase or non-increase the reserve. As an information, also, in terms of our investment portfolio, I would say, the amount of risk that we have in government bonds is very, very insignificant; overall, $27 million from that amount about 16 they have additional collateral that might protect us in case of any unforeseen situation. We feel that the situation is under control. We will follow up this very closely. Internally, we have established, I would say, how we are going to be reviewing, on a monthly basis, how things go on and take the necessary actions to protect the Company from any unforeseen situation.
Peter Costa: Thank you for that. Moving on to the Medicaid business, this is the first quarter that you had it at full risk, so you probably haven't had time for claims to fully develop. Do you feel that the loss ratio that you booked is really indicative or where the claims are going to be at this point? Or is still sort of just mostly where you think the claims would have been when you originally took on the business? In other words…
Ramon Ruiz-Comas: I will say, we need to be very careful, because we are in the first three months of this contract. But the way I will answer today, and tomorrow this might change, but today, I feel that our estimates in this contract were adequate. We feel comfortable with the contractual information, things that we agree in the contract. We feel that we should -- that the benefits that we have seen up to this moment are in accordance with expectation.
Peter Costa: And in terms of the side of that contract, in this quarter I presumably, you were still processing a lot of claims from when you had all of the business on a fee basis. Do you expect your G&A to come down, going forward as you can?
Ramon Ruiz-Comas: The answer is, yes I will say, as you mentioned, Peter, normally, the first three months after you finish a contract, the first three months you have almost a full-blown run-off, in terms of operating expense. I would say going forward and remember this is going to be throughout a year but going forward , expenses on that , I would say, prior contract should go down so that’s something that you’re correct. We should expect a reduction in operating expense related to the run-off of that contract.
Peter Costa: And were you paid any fees to offset your claim costs, while you're still doing that run-off?
Ramon Ruiz-Comas: The answer is, yes, we have an agreement with ASES, where we receive a small fee for the run-off of that program.
Peter Costa: And the papers have talked about a drop off in providers in Puerto Rico, because of their pressure there and have you seen providers moving to the U.S or moving away from Puerto Rico as a result of the pressure on payments there and one of the things that Bobby mentioned, he talked about reducing the number of IPA providers that you had by half. Can you tell us the timeframe that, that has happened for? Was that for next year, or has that been ongoing?
Ramon Ruiz-Comas: I will say -- and I would like to separate the two things, in terms of people, providers leaving the island, the answer is there but at this point I don’t think that this is a significant issue. I will say, today we can say that we’re complying with the requirement of the amount of providers that we are required for the contract that we manage so up to this moment, that is not an issue. In terms of the reduction in the IPAs in both Medicaid and Medicare Advantage, I will tell you that in the case of the Medicaid we implement the reduction because we want to issue our, that the IPAs that we work with has the proper economic trends to manage the risk associate , and has all the capability to service that population, , in accordance to the requirement of the contract. In the cast of the Medicare Advantage again that also has been carried out already but I cannot tell you that we may not carry out a little more, in case we see that there is a need to reduce those providers or those IPAs, because they're not complying with the responsibility that they need to comply to service that population, to manage that population in terms of quality of service, which for us, is structurally important that’s why Peter and maybe I want to reiterate that, when we talk about the reduction of 11% for 2016 premium rates, we feel comfortable. We don’t like it because you are reducing 11% so that will put a lot of stress to the Medicare Advantage program here in Puerto Rico saying that, then we have been taking measure to mitigate the effect of that reduction and reviewing the IPAs based on performance, based on quality of service, based on how they have performed in terms of star rating and also reducing the benefit provided by - are going to be provided in 2016 taking in consideration not that it’s just a review of the reduction of benefit but which benefit we could reduce that will not impact significantly the quality of care that people need to receive so those are items that we have consider when we’re focusing for 2016. I can tell you that I feel comfortable that he measures that we are taking, and we need to take the rest of the year with help of [indiscernible] company we can all grow to continue to improve going forward the profitability of the Medicare Advantage program. That’s is something that is structurally important. We decide that the measures that we need to take to improve the performance of the program takes more than six months, takes more than a year, so we are taking step-by-step to improve the financial profitability of this program. Personally, I feel that we are doing very good in the steps that we are taking to improve the performance of the program, but again take into consideration economic situation it takes time, but in terms of performance and looking for alternatives to become more efficient and effective, I think that we are in the right track and I feel very good of what we have done [indiscernible] and knowing the plan that we have going forward I feel that we are taking the necessary steps to improve the performance of our program.
Peter Costa: Lastly just a couple of housekeeping items. Can you tell us, what was cash at the parent? And what was the federal premium tax in the quarter? Then where exactly was that provision booked? Is it all in managed care or is it spread out?
Ramon Ruiz-Comas: I would say that [indiscernible] provision was done in managed care. Again, maybe, Peter, what I want to reiterate to you, we have a process to evaluate on a monthly basis, the adequacy of the reserve for doubtful accounts. Maybe the $4.3 million was in addition to the normal process that we use to evaluate the reserve of -- the allowance for doubtful accounts, taking into consideration our evaluation of collectability of the different accounts.
Amílcar Jordan: Okay, Peter, in terms of cash at the holding company level, we have [$17 million] (Ph) as of the end of the quarter, plus a small securities portfolio of $27 million. I think it's important to mention that during the quarter, we have prepaid $10 million of our long-term debt at a 5% discount. So we have a reduction in terms of long-term debt from $74 million to $62 million. In terms of the insurance fee for the quarter, it amounted to $9 million.
Peter Costa: Thank you very much.
Operator: [Operator Instructions] our next question is from Tom Carroll from Stifel. Please go ahead.
Tom Carroll: Hey, guys. Good morning. First of all, maybe a housekeeping item, can you tell us the goodwill in the quarter or at the end of the quarter?
Amílcar Jordan: $25 million. I will verify. I know that amount, but, clearly, I need to review, about $25 million. I am very clear (43.45)
Tom Carroll: And then, Amilcar, I think I missed the comment, you mentioned something about risk adjustment payments in the quarter. Could you go over that one more time?
Amílcar Jordan: Can you repeat the question?
Tom Carroll: Risk adjustment payments in the quarter that stemmed from your Medicare business, was there a comment in the prepared remarks about that?
Amílcar Jordan: I will tell you that's about $15 million in 2015 as compared to $12 million in 2014.
Tom Carroll: I’m sorry. Would you mind repeating that, I couldn’t quite hear you.
Amílcar Jordan: $15 million, this year compared to $12 million last year.
Ramon Ruiz-Comas: That’s correct. That’s what we made, the additional accrual that we made as of June 30.
Tom Carroll: Okay. And then, I guess on the Medicare business, could you focus, or maybe tell us what are the primary steps you're taking to manage the reimbursement cut into next year? I know you said you're taking, Ramon, you mentioned you're taking steps to alleviate that but maybe be a bit more specific about it. Is most of this flowing through to providers in the form of lower payment to them?
Ramon Ruiz-Comas: Okay, the answer, at this moment, that is not a consideration. What we are doing is we are intensifying HRAs to review an in-home assessment, to ensure providers are accurately capturing, documenting and reporting members' condition, which will help us properly manage their care and improve quality. Also, I will say we are revamping our Star program focusing on aggressive engagement with provider and continuous monitoring of metrics at the point of service. And here, more importantly, when we talk about the Star program, remember that the Star program is based, I would say take into consideration quality of service. So although we talk about the Star program, actually, the main objective is talk about the quality of service, look for the opportunity to improve quality of service that, at the end, will help of reduce them a lot. [indiscernible]. Also, we talk and that was something that we already have taken care of, we reduce the number of IPA providers by half focusing on the quality, financial strength and our administrative capability. Maybe, Tom, and this is something that we have talked in the past, before we used to have more IPAs that didn't have the financial strength and didn't have the administrative capability to manage the population. By reducing the number of IPAs and putting some of them together, we strengthen the financial capability. By the same token, that's why we evaluate the performance in terms of quality of service, to be certain that we achieve the goal that the patient and members are taken care of and that will help us improve, I will say, or manage the condition of the different members. Also, we mentioned we are implementing a provider contracting strategy to enforce the quality of care, redesigning our PBMG and PCP models to balance risk and responsibility. That is also important because through the contractual agreements, we are certain that they feel the responsibility that they have to align our objective to their objective. Also, we are investing in technology to properly identify and improve outcome of target population and something that, again, I think is very important that people understand, we are increasing our focus on member retention through our sales force compensation and marketing strategy. Our experience - and let's use the example that we talk about, our experience last year, even though we increased our membership almost 30%, by almost by 30,000 members, our experience was that the risk/reward of the members that came into our plan was very low. That is requiring that we invest a lot of effort and make an investment in terms of the things that we do to identify the conditions of these new members; are certain that they take the necessary steps. We need to include the in-home assessment; and that takes time and a lot of effort from the Company to identify the condition. If you increase the retention, already you have done those tests. Therefore, your spending in terms of taking care of those members is less to identify the condition. Therefore that is why our strategy is to increase retention of our members. So those are the main things that we are focusing in order to improve our revenue, in order to improve I would say the treatment and the management of the condition of our members.
Tom Carroll: Very good. And then one last thing, just back on I think it was Peter's first question on just the Puerto Rican economy. Is there anything specific that protects the Medicaid program as Puerto Rico perhaps runs out of money next year?
Ramon Ruiz-Comas: Can you repeat the question?
Tom Carroll: Is there anything specific that supports the Medicaid program relative to other services on the island as the fiscal conditions continue to get worse, if they do?
Ramon Ruiz-Comas: Okay. Maybe - remember that the Medicaid program is a federal program. So we need to consider that at least, and this is an estimate, more or less about 50% of the funding of that program is done by the federal government so in that sense you have a protection because 50% of the funding of the program comes from the federal government therefore is about 55… Excuse me?
Tom Carroll: But what about the other 50%?
Ramon Ruiz-Comas: That comes from the matching from the local government but again I will say the government has reiterate throughout this process that the service to their population and health is one of their main objectives of this administration. They want to protect this service to their population that doesn’t have any guarantee, but at least the actions that the government has taken up to this moment regarding that compromise to the program. I can tell you as of June 30 they have been complying in the new contract with the payment to a all the insurance companies regarding complying with a program payments therefore up to this moment I can tell you the fact that I can tell you the government has compiled so that is So for next year that I will see that, there is a 55% that come from the federal government but the government has reiterate the compromise to continue to provide service to population even before paying some bonds.
Tom Carroll: Okay, thank you very much.
Ramon Ruiz-Comas: Thank you. End of Q&A
Operator: There are no more questions at this time. I will now turn the call back over to Ramon Ruiz for closing comments.